Operator: Good morning, and welcome to the TravelCenters of America Second Quarter 2017 Financial Results Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. Please note, this event is being recorded. I would now like to turn the conference over to Katie Strohacker, Senior Director of Investor Relations. Please go ahead.
Katie Strohacker: Thanks, Andrew and good morning, everyone. Thank you for joining us. We'll begin today's call with remarks from our Chief Executive Officer, Tom O'Brien, followed by remarks from our Chief Financial Officer, Andy Rebholz, before opening up the call for questions from analysts. Today's conference call contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and federal securities laws. These forward-looking statements are based on TA's present beliefs and expectations as of today, August 8, 2017. Forward-looking statements and their implications are not guaranteed to occur and they may not occur. TA undertakes no obligation to revise or publicly release any revision to the forward-looking statements made today, other than as required by law. Actual results may differ materially from those implied or included in these forward-looking statements. Additional information concerning factors that could cause our forward-looking statements not to occur is contained in our filings with the Securities and Exchange Commission that are available free of charge at the SEC's website, www.sec.gov, or by referring to the Investor Relations section of TA's website at www.ta-petro.com. Investors are cautioned not to place undue reliance upon any forward-looking statements. Just a reminder the recording and retransmission of today's conference call is prohibited without the prior written consent of TA. And with that, I'll turn the call over to you, Tom.
Thomas M. O'Brien: Thank you, Katie. This morning, we released our second quarter 2017 results. The second quarter results were as is typical noticeably better on a quantitative basis than the first quarter 2017 results, as we saw a firming on several fronts during that second quarter. On a year-over-year basis, net income declined to a net loss of $3 million in the second quarter, before the impact of expenses related to the FleetCor/Comdata dispute which totaled about $5.3 million during the 2017 second quarter. EBITDA rose 8.4% over the second quarter of 2016 on strong performances in both fuel and non-fuel gross margin, and in controlling both site-level operating and selling, general and administrative expenses. Importantly, fuel volume showed a 1.6% decline in the second quarter, much improved compared to the 5% decline during the first quarter and more specifically, same site diesel fuel volume declined only 1.7% versus the 7.5% decline for the first quarter 2017, each is compared to comparable 2016 periods as uncharacteristically difficult factors that weighted on volume during the first quarter 2017 abated. We have continued to incur excess transaction fee and litigation-related expenses from our dispute with FleetCor and Comdata. I had hoped to have a ruling from the Delaware Court before today but that has not occurred. I believe that we will prevail in this litigation and hope we will have a ruling from the court soon. If we do prevail we hope to recover at least all of the $13.5 million of costs that we have incurred in the first half of this year. But as I have said previously litigation can be unpredictable. Our internal growth initiatives include our commercial truck tire business, expanding our OnSITE mobile maintenance business, and renewed growth in our RoadSquad emergency breakdown service. Overall growth in the truck service part of our non-fuel business generated $2.6 million, more non-fuel margin during the 2017 second quarter than in the 2016 second quarter. We’re about 50% of our total growth in non-fuel gross margin in the Travel Centers Segment. We have added enough service volume and margin to more than overcome the increased operating expenses incurred during the 2017 second quarter to support these initiatives. But I believe there’s more revenue and margin growth to come. Tire unit sales increased 9.2% during the 2017 second quarter, and events logged by our two vehicle-based service delivery businesses OnSITE and RoadSquad increased almost 17%, each versus the 2016 second quarter. We continue to press forward with this business not only in an effort to improve upon the metrics I’ve mentioned, but also, to ultimately drop more the revenue and margin from these initiatives to the bottom-line. While we have continue to ramp operating results, acquired sites increased contributions from certain acquired convenient store sites have not yet return to the pace of growth seen prior to the first quarter 2017. There have been some challenges in particular convenient store markets that have seen high quality operators construct new or upgrade existing stores. Our fuel pricing, merchandising, and operating cost strategies in many of recently completed improvements are resulting in benefits. Same site results grew 8.5% despite being dampened by the new competition in certain markets that I mentioned. I still believe we will generate contributions from these stores in the expected magnitude. I reported to you on our last call that we’re focused on certain cost savings and other measures that we expect may produce as much as $12 million pre-tax positive impact on an annual basis. These initiatives have begun and are substantially on track. We have already begun to realize some of these benefits in the second quarter 2017, and we believe these efforts during that second quarter positively affected pre-tax income and EBITDA by about $2.5 million. Our goals in the near term are to continue and indeed accelerate growth in results of our new locations particularly the c-stores, to get the litigation with FleetCor/Comdata behind us and to increase productivity in our newer initiatives, particularly our commercial tire network OnSITE and RoadSquad. I told you last quarter that the negative factors weighing on results may be short lived while the positives are likely to be longer term. Certainly, the extreme environment experienced during the first quarter 2017 did not repeat in the second quarter. We may not yet have answers on our litigation but we're closer now to a ruling than we were before and we’ve prepared for the worst, even though we don’t think we will face it. It may take a little longer than I had hoped for our c-store acquisitions to hit their stride, but our cost savings initiatives are taking hold earlier than expected and the advances we made in truck service, in particular in a very short time, are already showing early promise with more I believe to follow. And with that I’ll turn the call over to Andy Rebholz, our Chief Financial Officer.
Andrew J. Rebholz: Thank you, Tom. And good morning, everybody. We reported a net loss for the 2017 second quarter of $3 million or $0.08 per share. This compares to a net income of $3.5 million or $0.09 in the second quarter of 2016. Our EBITDA in the 2017 second quarter of $31.1 million declined to $2.5 million compared to the year-ago quarter. For the 2017 second quarter versus the 2016 second quarter, fuel gross margin increased $3.8 million or 3.7% to $105.8 million while fuel gross margin on a per gallon basis increased $0.01 to $19.02. Both increases were primarily a result of the decline in fuel prices during the quarter and our purchasing and pricing strategies. The decrease in fuel sales volume of 1.6% for the second quarter primarily resulted from comparatively weak consumer demand for gasoline and a decline in diesel demand largely attributed to continued fuel efficiency gains, especially by our commercial diesel fuel customers. Non-fuel revenues increased $10 million or 1.9% from the 2016 second quarter. Sites acquired and developed since the beginning of the 2016 second quarter generated an incremental $7.1 million, while same sites generated an incremental $2.5 million. The increase on a same site basis was primarily due to favorable effects of certain of our pricing and marketing initiatives. As expected the tire unit sales volume which increased 9.2% for the quarter continues to ramp up and this initiative in conjunction with our other truck service programs contributed to increased truck service revenue and gross margin in the second quarter 2017 versus 2016. Total gross margin for the second quarter of 2017 increased by $11.7 million or 3.1% from the second quarter of 2016 due to an $8 million or 2.9% increase in non-fuel margin and a $3.8 million or 3.7% increase in fuel gross margin. Our strategies and initiatives led the balanced improvements in both our TravelCenters and our convenient stores and on both a consolidated and same site basis. Site-level operating expenses in the second quarter increased by $8.8 million or 3.6% over the prior year quarter, primarily due to a $4.9 million increase at sites acquired and developed since the beginning of the 2016 second quarter and a $2.8 million of excess transaction fees charged by FleetCor/Comdata. On a same site basis site level operating expenses were up 1.6% versus the prior year quarter and increased slightly by 50 basis points as a percentage of non-fuel revenues versus the prior year. But it’s important to note that these amounts include the excess transactions fees charged by FleetCor/Comdata. Our selling, general and administrative expenses for the second quarter increased by $1.9 million or 5.2%, but this amount includes $2.5 million of litigation costs related to our dispute with FleetCor/Comdata. Our rent expense increased $4.4 million compared to the 2016 second quarter, primarily due to TA sale to and lease back from Hospitality Properties Trust of five travel centers and improvements at other leased sites since the beginning of the 2016 second quarter. Our second quarter 2017 depreciation expense was $28.6 million, an increase of $2 million when you compare to the first quarter’s depreciation expense before the impact of one-time write-offs. In our TravelCenters segment, site level gross margin in excess of site level operating expenses for the 2017 second quarter was $122.9 million, an increase of $2.3 million or 1.9% from the 2016 second quarter, resulting primarily from a $5 million increase in non-fuel gross margin and a $2.5 million increase in fuel gross margin driven primarily by our purchasing, pricing, and marketing strategies. These increases were offset by the $2.8 million of excess transaction fees charged by FleetCor/Comdata. In our Convenient Store segment, site level gross margin in excess of site level operating expenses for the 2017 second quarter was $11.7 million, which is a 10.8% improvement over the 2016 second quarter, attributable primarily to the continued ramp up of recently acquired c-stores. During the second quarter 2017, we invested $38.3 million in capital expenditures as compared to $86.9 million in the second quarter of 2016. Proceeds from asset sales, primarily to HPT in both periods, totaled $53.1 million this quarter compared to $83.3 million in the second quarter of last year. In summary, while litigation matters weighed on results this quarter, overall our operations performed well in both our fuel and non-fuel businesses and we exercised good site level and corporate cost control. In addition, the cost savings initiatives identified last quarter have begun to take hold and we are seeing positive results. We continue to made progress in regard to stabilizing acquired sites and our internal growth programs. We believe there is significant potential going forward as our investments and strategies continue to progress, and we believe we have positioned our business for success in the long term. And with that I’ll turn the call over to the operator for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Alvin Concepcion of Citi. Please go ahead.
Alvin Concepcion: Great. Thanks for taking my question. I’m just curious about FleetCor litigation costs. Any insight into how long you expect these costs to continue for?
Thomas M. O'Brien: Well, the last date of the trial ended in June. And so, between then and now we are likely not -- well we haven’t seen as much in term of litigation costs because the active part of that trial is over. Really what we are doing is waiting for the Delaware Court to issue ruling. The -- what we call excess fees, which were running about $900,000 a month, continue. So there’s really two pieces to that. The litigation costs have abated while the fees have continued. Makes sense?
Alvin Concepcion: Yes. Makes lot of sense. Thank you. And just some color on the fuel gross margin this quarter, did a great job with those. Just curious, how they’re running in the third quarter to date so far, and what sort of puts and takes should we consider going forward.
Andrew J. Rebholz: Sure. First thing to recognize is -- second quarter was - we have both - for both diesel and gas declining product costs. So far in July we’re seeing increased product costs so that’s putting some pressure. But what we’ve seen in July is a volume decline of about 4%, 1.5% versus the same period in 2016, $0.015 declined in margin per gallon.
Alvin Concepcion: Great. And then, we haven't asked about this in a while, but how should we think about unit growth over the time, maybe organically since it’s hard to speculate on acquisitions, so just how are you sort of thinking about that on longer term basis?
Thomas M. O'Brien: Frankly, our focus is on developing the businesses that we have, that we think is going to - that we think are - has the potential to increase the scope of services that we provide to our existing customers, but also gives us the opportunity garner new customers in particular in the truck stock business, so a ton of focus on the truck service business expansion activities that I’ve talked about. As far as unit growth, we don't have plans on introducing any significant development. The truck stop acquisitions are opportunistic and there’s not at time in the pipeline. I think we've acquired one this year. The convenience store acquisition market is pretty hot right now and to the point where we look at stuff but haven't taken an active role in pursuing any of that. We'll be opportunistic as far as external acquisitions go for the foreseeable future until things change.
Alvin Concepcion: Great. Thank you very much.
Operator: [Operator Instructions] The next question comes from Bryan Maher of FBR Capital. Please go ahead.
Bryan Maher: Hi, Tom and Andy. Just a couple of quick follow-ups to Alvin. A point of clarity, you said that at $0.015 per gallon with the volumes down 4%, is that $0.015 per gallon down from the second quarter or from 3Q ‘16?
Andrew J. Rebholz: That's July versus July ‘16.
Bryan Maher: Okay. And then my other question is you just suggested that the c-store space acquisition activity wise is hot, and yes, we've been seeing that. Would that compel you at all to think about selling your c-stores into a hot market?
Andrew J. Rebholz: We do think about that. We haven't taken action. We’re in a mode where the first half of this year, excuse me, the first half of the -- first half of the first quarter was a pretty tough market operationally. We haven't yet seen the full impact we believe of the improvements that we've made and we have a ton more growth. If I can -- if it were the case that I could get someone to pay for the growth that is yet to come, we’d consider that. But at this time, I think there is a case to be made for continuing the ramp-up and then seeing what market we're in when that's completed.
Bryan Maher: Okay. And then on the FleetCor/Comdata ruling, do you have any thoughts as to when you might hear? Do you think it's an August event or a September event or do you just not know?
Thomas M. O'Brien: I would tell you that I think it's an August event but we're reading tea leaves and it's really not in my control, nor do I have any particular insight into that. So my honest gut is telling me we're going to hear in a month but we could be back here at third quarter telling you that we haven't heard yet. It's really sort of in-the-hands party that we don’t - obviously, we don't control.
Bryan Maher: But there are no developments or anything new since we last spoke on our earnings call. Is that correct?
Thomas M. O'Brien: That is absolutely correct.
Bryan Maher: And I don't know if you can share with us, but you have expressed now a couple of times your optimism in prevailing in this case. Is there anything you can share with us as to why you feel that way?
Thomas M. O'Brien: Well, I don't want to misspeak and talk about too many details of the case, but I think that TA has done everything that it would supposed to do with regard to our various agreements with Comdata. I believe that very strongly. And I don't believe that Comdata's actions to attempt to terminate our merchant agreements have -- I don't believe they have a basis for it.
Bryan Maher: Okay. And then lastly, yes, we did notice cost savings particularly in the SG&A line. Can you share with us -- because do you have it on the call couple of examples of where you're identifying cost savings, like specific examples?
Thomas M. O'Brien: Sure. I think the two biggest pieces in there - there’s probably a dozen or 15 elements in it, but the two biggest pieces; one is our use of billboards. And we believe that, that as a marketing tool has declined in importance and as a result of that we’ve taken a pretty significant cut in our use of billboards around the country. I want to say we had 500 and something billboards and we've reduced that to about a 120. That's in the neighborhood of $5 million to $6 million a year. And the second bit is the way that we buy bio which is, in some markets, added to diesel -- blended with diesel to make biodiesel. And in the past, we've typically splash blended that which requires a vehicle to make two stops, one at the diesel terminal and one at the bio location. Whereas today, we're using a lot more blending equipment at sites that use bio, that drives down the costs because we can buy it in bulk. So those are two very specific things that are included in that.
Bryan Maher: And as a follow up to the billboard thing, did you just let those leases I guess you had on those billboards expire or was there any cost to get out of those?
Thomas M. O'Brien: I think there was a -- there’s no cash costs. We did have some, if you will, improvements to some of those billboards which -- in the form of price packs and those were written off in the first quarter when we made that decision.
Bryan Maher: Thanks, Tom.
Operator: The next question comes from Ben Brownlow of Raymond James. Please go ahead.
Benjamin Brownlow: Hey, good morning guys. On the road side -- RoadSquad truck service and pretty strong growth there. I know Pilot Flying J are launching Roadside Assistance. Can you just help us to think about the competitive landscape and how that's evolving, and help frame the competitive advantages at RoadSquad?
Thomas M. O'Brien: Yes, I think the competitive landscape is evolving principally because of the things that we're doing. That is to say, we've been the leader in the truck service business among the -- certainly among the travel centers for a long time. And frankly, I think some of our competitors are tired of being asked why aren't more like us, but one of the differences in RoadSquad, the emergency roadside business for example, is that we're backed by -- our trucks are backed by 3,000 analysts -- excuse me, techs that have been doing more than just tires and as fuels for a long, long time. We have an expertise in that business. It’s also backed by our national call center. And then when I talk about - when I talked about the cost that we’ve put in place in the second quarter to support the growth of that business, really talking about the costs that are designed to rightsize that business so that we can efficiently on board new customers. I think that we don’t - I’m not trying to say that we aren’t - that we don’t look at and carefully watch what our competition is doing, but in this case, they’re following in we're leading by quite a bit.
Benjamin Brownlow: Great, that’s helpful. Thank you. And just one more, the Quaker Steak & Lube, any color around kind of contribution there versus your expectations?
Thomas M. O'Brien: That’s running ahead of our expectations by a little bit and that’s despite weeding out some franchises. I think what our next step there is there’s two things, one is, getting the franchising program back in gear. We’ve made some moves on the management side to try and make that happen. And the second bit is probably before the end of the year, maybe first part of next year, we’ll have introduced a, call it a Quaker Steak & Lube express, which would be a smaller format of that brand. We think it has place within our own network of truck stops, in some circumstances, but it also may appeal to franchisees who have particular size, facilities or what have you. So I think it’s a difficult transition. It takes a little bit of time. But we’ve got all the pieces in place. Over the next year I think we’ll see even more growth than we’ve seen.
Benjamin Brownlow: Great, thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Tom O’Brien, Chief Executive Officer, for any closing remarks.
Thomas M. O'Brien: So that’s all I’ve have other than thank you for participating this morning. Thanks a lot.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.